Operator: Good morning, good afternoon and good evening. Welcome everyone to Lenovo’s Earnings Media Webcast. This is Jenny Lai, Vice President of Investor Relations at Lenovo. By now you should have received a copy of our earnings release and earnings presentation. Before we start, let me introduce our management joining the call today, Mr. Yang Yuanqing, Lenovo’s Chairman and CEO; Mr. Gianfranco Lanci, Corporate President and COO; Mr. Wong Wai Ming, Group CFO; Mr. Kirk Skaugen, President of Infrastructure Solutions Group; and Mr. Sergio Buniac, President of Latin America and Mobile Business Group and President of Motorola. We will begin with earnings presentation and shortly after that we will open the call for questions. Now let me turn it over to Yuanqing. Yuanqing, please.
Yang Yuanqing: Hello, everyone. Thank you for joining us. A year ago, as we faced the greater uncertainty, I told you we will continue to be resilient and to strive for new heights. Today, I’m pleased to say that we have indeed seeing phenomenal growth in every part of our business and have achieved both a record fourth quarter and new milestone for our fiscal year. Starting with our historical fourth quarter results, Group revenue reached US$15.6 billion, growing 48% year-on-year, faster the growth in almost a decade. Pre-tax income showed to US$380 million, net income reached US$260 million, both around the five to six times as much as last year. All our core businesses achieved high double-digit growth in revenue at the same time, for the first time in six years, demonstrating our progress in diversification of our businesses. For Intelligent Devices Group, PC and smart devices had its best fourth quarter ever with US$12.4 billion, up 46% year-on-year, even more profitability achieved all-time high at 6.7%. All of our geographies realized the high double-digit growth in revenue. Particularly in China, we grew 80% year-on-year. Our PC volume outgrew the market to further strengthen our leading position. Tablet volume also had breakthrough growth of 157% year-on-year, around three times as fast as the market. Our consistent strategy to focus on and investing high growth and the premium segments keeps delivering strong results as a gaming PC, thin and light, Chromebook and visual volume each grow at a more than double digit rates and outgrow the market. On Mobile Group continued its momentum of profitable growth with terrific results. Revenue achieved hyper-growth, up 86% year-on-year. Pre-tax income reached the US$21 million, record high since the Motorola acquisition. With expanded carrier relationships and a strong product portfolio, particularly 5G products, our volume grow at a triple-digit rate in North America, Europe and Asia-Pacific. Latin America remains a strong hope with the market share reaching a new record of nearly 21%. Our Data Center Group had tremendous quarter, revenue grow at a strong 32% year-on-year, the fifth straight quarter of premium-to-market growth. Profitability improved 4.4 points year-on-year, the biggest increase in over two years. Both our Cloud Service Provider segment and Enterprise SMB segment achieved the year-on-year growth. In particular, the CSP business grew 73% year-on-year. Our Storage, Software Defined Infrastructure and Software business all had record fourth quarter revenue. Particularly storage revenue achieved high growth of 73% year-on-year. Our Service-led transformation accelerated, fueled by ongoing strong growth in software and services, with revenue up 44% year-on-year. Managed Services revenue including DaaS and TruScale nearly doubled and the Solutions revenue grew 65% year-on-year. This historical quarter also that we reached a significant fiscal year milestone. For the first time, Group revenue surged to over US$60 billion, adding more than US$10 billion in just one year. Profit grows even faster to reach new records with the pre-tax income of almost the US$1.8 billion. And the net income was almost US$1.2 billion. Both were up more than 70% year-on-year. Our Intelligent Device Groups and the Data Center Group achieved revenue growth of 20% and 15% respectively as both reached historical highs. Our Software and Service revenue grew twice as fast as the overall Group revenue at almost 40% year-on-year to a record US$4.9 billion, which now makes up 8% of overall company revenue. This demonstrates our solid progress in Service-led transformation. These results come from excellent performance across all our businesses, delivering to the new needs in a new normal, leveraging our clear strategy, innovative product, operational excellence, and our global local model. While we completed our two historical and record year, we are not stopping here. Looking forward, we will further drive our Service-led transformation to capture growth opportunities created by both the new normal under new technologies. We see three important industry trends now, and post-pandemic. The first trend is consumption upgrade as the people spend the most time on their devices, leaving them to buy more devices and upgrade more often as we work, learn in the tent from home. At the same time, the adoption of commercial 5G is driving the shift from computer to computing, making more traditional devices intelligent. The second trend is the infrastructure upgrade. The ever-growing use of online applications has not only increased the demand, but also raised the bar for ICT infrastructure. Infrastructure, not only refers to traditional data center products like a server, storage, networking, but also age or clock, product solutions for computing power from design and the deployment to operation and maintenance. The third trend is application upgrade. From digitalization to intelligent transformation with AI are difficult. Industry survey by a leading consulting company shows the digitalization and the intelligent transformation of enterprises have accelerated by three to four years to enable more productive and efficient processes under remote working conditions. The massive amounts of data from digitalization and various smarter devices are stored, organized, and analyzed with the computing power from edge and the cloud. Then by combining the data and the computing power with the algorithms based on industry know-how, we built intelligent solutions to transform industries. At our last earnings call in February, I shared that Lenovo was making changes to align our organizational structure to our 3S strategy. Under the new structure, intelligent device group or IDG, infrastructure solution group or ISG, and the solution and the service group or SSG will each focus on the unique opportunities created by these three upgrade trends to achieve sustainable long-term growth. In the year ahead, IDG will continue to drive leadership in PC and the tablet showing innovation and operational excellence, and further penetrate in new areas, such as embedded computing, smarter office, smarter edge, and the AR/VR. In the mobile, we continue profitable growth as we take advantage of increase of the market demand and the changing competitive landscape and maintain strong momentum in North America, Europe and Asia Pacific and keep our stronghold in Latin America. ISG will continue premium-to-market growth. We will further expand our call to service provider customer base and grow our channel business through our newly integrated One Lenovo sales organization structure. We will drive storage software defined infrastructure, software and services to further improve profitability, and ramp up to scale infrastructure as a service. Our new business group SSG, we are strengthening our attach service portfolio and the increase attach rates, expand the managed services and develop repeatable solutions in key vertical industries. Meanwhile, we have reduced the greenhouse gas emissions by 92% over the past decade. And set new science based targets to continue making progress in sustainability. In fact, we were being recognized by the annual Corporate Knights Index as a one of the world’s 100 most sustainable companies. The past year certainly represented many challenges that reminded us of the importance of adaptability and the resilience, but past year also created opportunities for Lenovo to empower our customers and the society to do more than just the survive in the new normal, but to thrive and achieve even greater success. We will continue to turn challenges into opportunities and build even smarter future in the year ahead. Thank you. Now, let me tell turn it over to our CFO, Wai Ming. Wai Ming, please.
Wong Wai Ming: Thank you, Yuanqing. I will now take you through Lenovo’s financial and operational performance in Q4 and fiscal year 2021. We had a strong finish to a record fiscal year for quarter four. We delivered US$15.6 billion in revenue with a 48% year-on-year growth, which is the fastest growth in almost a decade, with net profit increasing by more than five times. Not only that all our three business groups achieve high double-digit sales growth for the first time since Motorola and x86 acquisitions. The group high margin software and services booking revenue also grew at its highest rate ever since our service-led transformation started. Our core competencies of operational excellence, time to market and innovation are setting us apart in the post-COVID world and accelerating our transformation towards end-to-end solutions. Our E2R ratio was reduced by 1.9 percentage point year-on-year to 14.1% as a result of discipline control and economies of scale. Profit attributable to equity holders was US$260 million, and the basic earnings per share came in at US$0.0219. Q4 marked another exceptional quarter for our PCSD business. We sustained this position as the largest global PC brand by market share all regions show year-on-year revenue increases in a range of 29% to 80% leading to a blended 46% growth and record revenue of US$12.4 billion for the group. PCSD delivered a record profit of US$831 million in the fourth quarter with a 58% year-on-year growth. Its pre-tax margin expanded 50 basis point to an all-time high of 6.7%. In addition to the high growth segments, which have been our strong catalyst in past quarters, e-commerce and surfaces up-selling emerged as a new growth engine to provide high revenue growth of 42% to 58% as well as higher profitability. Enterprise demand recovery was also encouraging as evidenced by double-digit growth in shipment. Our MBG business delivered a hyper sales growth of 86% year-on-year, while improving its pre-tax profit by US$80 million year-on-year to a record US$21 million since acquisition. We achieved premium-to-market growth across our major geographies and outperforming the market. We have grown our MBG business by strengthening its product portfolio via 5G for all strategy and broadening its carrier ranging across key focus markets. Data center group concluded the quarter with a 32% year-on-year growth to US$1.6 billion in sales, thanks to the robust hyperscale demand and new customer acquisitions. Revenue of enterprise SMB business reached three-year high despite continuous soft demand from enterprise. They are high margin, boded well to the mix along with more profitable cloud service provider projects. DCG pre-tax improved by US$45 million year-on-year, the largest expansion in the last 10 quarters. It has been three years since we started our software and services led transformation. The high margin software and services business continue to see accelerated growth in invoice revenue to its highest ever rate of 44%, contributing 7.9% of group sales. Deferred revenue increased 32% year-on-year, which further secure our future growth by building a sticky business model. Managed services enjoy 91% growth in invoice revenue supported by upselling opportunities leveraging the growing popularity of our services solution. Our Group generated an additional US$10 billion revenue for the full year, capping off a record year with the highest rate in almost a decade. Our revenue grew 20% to US$60.7 billion. Profit attributable to equity holders increased 77% to US$1.2 billion and basic earnings per share came in net US$9.54. PCSD, DCG and software-as-a-services businesses, each score all time annual revenue or record profit challenges from the pandemic impacted MBG first half performance, but its swift recovery in second half led to its higher profit since acquisition. Our E to R ratio was reduced by 110 basis points year-on-year to 12.5% on discipline expense control. Pre-Tax income was US$1.8 billion up 74% year-on-year, while pre-tax margin reached 2.9% its highest level in the last 13 years. All of our business reported margin expansion will have repositioned Lenovo to take advantage of the higher demand for computing power, data and end to end solutions. The consistent and strong earnings trajectory across our business units that underscore our company achievement after the intelligent transformation. Today, the Board declared a final dividend of HKD0.24 per share, taking into consideration of the interim dividend of six months, HKD6.06 per share, total dividend will be HKD30.6 per share, a 10% increase compared to dividend paid in FY19-20. For the fiscal year, our operating cash flow improved by US$1.4 billion to US$3.7 billion thanks to strong earnings and working capital management. To optimize our capital structure, we reduced our net debt and repurchased perpetual securities amounting to a total of US$1.4 billion. In the fiscal year, we obtained our first investment grade credit rating with a subsequent upgrade. All of these actions together save us 13% in financing costs and perpetual securities dividend. We expect more cost saving in the next fiscal year. PCSD business achieved many performance records as industry demand continued to exceed expectations throughout the year. Its revenue grew 22% to an all time high of US$48.5 billion, while pre-tax profit advanced 34% to US$3.1 billion. Since the outbreak of the pandemic, there have been many unexpected lifestyle changes, including the one-PC-per-person trend, rising usage intensity and e-commerce revolution. The group has leveraged our operational excellence, product innovation and quick time to market capability to address these new demand tailwinds. We maintained a solid worldwide number one position for the third consecutive year and became number one in EMEA in the second half of the year for the first time in our history. We made the strategic decision to drive high growth segments and expect segment profitability. We also deploy our capital and resources on the PCSD to grow the high value at the services business. As a result, the business further extended its industry-leading profitability to set a new milestone at 6.5%. In the earlier part of the fiscal year MBG operation was negatively impacted on both supply and demand side by the pandemic. Nevertheless, our commitment to strategic action has helped us stage is swift recovery in the second half of the year. Thanks to the strong momentum across key markets. The business delivered a 39% revenue growth in the second half and then 9% for full year. Similarly, the pretax performance reversed from a loss in first half to a wreck called pretax profit to US$31 million in second half, up US$87 million year-on-year. We achieved a record market share in Latin America and North America, and nearly double our revenue base in Europe. Our strategy remains clear. Driving product portfolio enhancement to include more premium models a 5G for all strategy to make 5G conductivity more assessable and broaden our carrier ranging to drive regional expansion. Looking forward MBG will target to groom and it to be a significant contributor. And embark is Europe business at a faster pace while maintaining LA at a strong whole markets. Data Center Group delivered a record high and revenue at US$6.3 billion, up 15% year-on-year. CSP is largest growth contributor with a strong double-digit increase. Positive catalyst for CSP included public cloud demand and customer and product expansion. We are winning projects, not only utilizing our in-house design and manufacturing, but also high end design storage and HPC to expand the number of growth engines. ESMB revenue while at its highest in the last three years outperforming the overall enterprise market even the market demand was sluggish. Storage, SDI, software, and HPC perform well, posting strong double-digit growth and record revenue. Our DCG is now ranked global number two in entries level storage, advanced from number five last year and extended its number one lead in HPC segment. On pretax DCG saw improved profitability for the fourth consecutive year by US$57 million year-on-year and narrow pretax loss to US$169 million driven by broad based improvement across CSP and ESMB. Since this group started its surface led transformation, the software and services business had made tremendous progress is invoice revenue grew a slight rate and raise 39% for the year to US$4.9 billion, which is nearly twice as high as the group revenue growth rates, now contributing 8% of the group sales. The business has broadened his scope and scale and has won many landmark deals. Managed services and drove a 78% growth, trying to make as-a-service deals signed around the world with leading technology, retail and financial institution, as well as global spot events. Complex solution posted a strong 58% growth from all verticals, attest services, continue to grow at a fast pace of 28%. Deferred revenue increased 32% year-on-year to US$2.2 billion pointing to a fast growing recurring revenue base as we make further inroads to build a steady business model. With regional economy on pace to expand and the signs of a rebound in enterprise IT spending the group will continue to ride on recovery lead opportunities and deliver sustainable growth. With our new organizational structure, we plan to supercharge the growth opportunity arising from our surface led transformation efforts and capitalize on long-term upgrade cycles. With the investment grade rating, we will further improve our debt capital structure by leveraging there in low interest environment. Our plan CDR listing will also further our market leading position in China and provide capital for us to invest in technology has further support our long-term growth. By business growth, our PCSD business will continue to address opportunities emerging from new smart devices and extend its leading position in both market share and profitability. It will leverage as innovation solution capabilities and further improve its world-class supply chain to meet strong segment demand partly driven by commercial recovery. For mobile business, the group will focus on sustaining a strong momentum in North America and Europe, while maintaining its leadership in Latin America. MBG will further push product innovation and accelerated 5G smartphone launches to score wins in more market and to stay on the profitable growth journey. Our Infrastructure solutions group or DCG business will aim to grow the channel business with a One Lenovo platform while delivering premium to market growth and profitability. In the ESMB, the group will grow high-margin services attach rates expand high growth segments and position is hybrid cloud solution to drive a paradigm shift in computing with edge-to-cloud solutions. For the CSP business, the group will continue to expand customer base and gain more share among existing accounts, to achieve that the business will leverage its unique strength, including in-house custom design and worldwide manufacturing capability and expand this product portfolio with advanced configuration and storage platform. The newly established SSG will bring our surface led transformation to a new level. We will continuously focus on expanding our capabilities in three key priorities segments with clear multi-year growth targets. We will raise the attach rate for a test services, drive hybrid growth in managed services, and at the surface by enhancing delivery differentiation and platform and develop end to end solutions and now Lenovo IP to support our growth in solutions. Thank you. And now we can take your questions.
A - Jenny Lai: Thank you. Now we will open the lines for questions, and this session will be in English only. [Operator Instructions] Operator, we will now turn it over to you. Please give us your instruction.
Operator: Thank you. [Operator Instructions] First question is comes from the line of [indiscernible] from Guotai. Please go ahead.
Unidentified Analyst: Okay. Thank you for taking my question. Congratulations for the very good results. So I have two questions. One question is about the impact of the chip shortage and we experienced quite very good results at last quarter, but looking forward. So these three – any impact from chip shortage, this is number one. And the second one is we see mid-opening of the major countries. And in the major countries, do you see end of the PC demand become, remain still strong. Or do you see that some market, especially the PC consumer market has any chance. Thank you.
Yang Yuanqing: Can I invite Gianfranco to answer the question?
Gianfranco Lanci: Can you hear me? Thank you. Okay, good. Okay, the impact of the – first of all, let me say, we are facing these shortages since seems too far like the other. So it’s not new. We have seen as this deterioration frankly speaking in Q1 in terms of shortage, and now we getting actually stable. Moving forward, I don’t expect the further deterioration, but for sure we continue to face the shortage for the next 12 to 18 months and to coming, not only from a PC demand, but also from other products, automotive and so on. We’ve been able to – you see the result, the demands are – the shortages are quite well in Q4 and lot here in Q1. And we will continue to manage as we read in the past also in the future. That is another important thing that probably because when we talk about shortage of people they think about IC and they think that the old days at the same of [Audio Dip] by the demand from car, the car battery. By usually, the IC that they utilize is based on the very, very old band technology 28 or even higher that kind of technology, when we use the chip that are coming and the IC that are coming from a little bit more recent technology. So the two things are not really overlapping too much and why it’s very difficult to invest on very older technology, it different from our side. More in terms of impact looking forward, we will be probably similar situation like Q1 or Q4 not at deterioration. Talking about PC demand, I think very good question, because these through that there lot of companies in the world where they are finally opening up. And they looked like that we are slowly getting out of the tunnel, but when I see the demand in terms of PC, this quarter moving forward the next following quarters, you see very, very stronger. And I think the real difference is not because people working from home, learning from home, playing from home, everything from home, but I think the major difference is people, they start to realize one, they need the one PC and but not the one or two PC per house. There are few very interesting survey, in terms of what the people thinks about PC after pandemic, let’s say, or with experience on PC and very different experience. And there is one of experience, they work brilliant on phone on certain application. So PC is becoming much more key for a lot of people, not only between because everything from home, but also for gaming or entertainment or other things we want, they realize they can do, and they can get a much better experience than what we get on this smartphone or tablet. The last thing is that we limited the install base, we have the very old install base four or five or six years at huge number. And all these people, or they would be in the position to refresh their own PC. So we would see an acceleration of the reprice for the entire installed base, but again, because if you want to get a good experience, if you go to enjoy yourself and experience, you need a brand PC not a four or five years old PC. I’m quite optimistic. We are quite optimistic that what we see in terms of growth, but also if you look at the market research data on its own, it will continue for sale several quarters. This will continue next year also.
Yang Yuanqing: Thank you, Gianfranco. So given this is a very important question. So I just want to echo what Gianfranco just said. So PC and the tablet demand are still very strong. So not only we see pick volume of the backlog. So all the – but also we are – so you can see the number – particularly China member, China has already reopened for couple of quarters. But their demand is still very strong, even stronger side other job, so that can prove our Gianfranco just said. So this pandemic just to push the people’s behavior change. So they tried to own PC purpose, and also people are spending more time on their devices and they are buying more devices and upgrading more open, so their work – and the platform. So, we believe the demand we are continuing to be strong for a longer time not just because of the pandemic. And also regarding of the shortage part, I think these are shortages are mainly driven by the stronger demand than expected, but for sure not just being PC and the tablet, but also electronic car as well. So it’s caused by additional growth. So that means that market will continue to grow. And then the number will also grow, it’s just how much of growth will depend on how much supply we can get, but in that aspect, so we are confident that Lenovo can perform better that market and our key competitors. First, we have a very strong global supply chain, which was just awarded as Gartner’s top 25 supply chain. Also Lenovo has a very unique model. Most of our competitors don’t do manufacture by themselves, just the outside third-party. But Lenovo has a hybrid mode. We do 50% outsourcing and the 50% in house manufacturing. So this unique model gives us advantage to approach upstream of vendors and the better relationship with that. So, in shortage like this, we can leverage this relationship to get better supply situation. So, I’m confident that, that we will continue to outperform the market and the key competitors enjoy sustainable growth. Thank you. Next question.
Operator: Thank you. Next questions will come from Jerry Su of Credit Suisse. Please ask your question.
Jerry Su: Thank you. Thanks for taking my question, and congratulations on a good results. My first question is, I think is regarding to, I think your education or corporate management quite strong for the past couple of quarters. Can you give us some idea, what do you think about the education penetration rate also equals outlook into the later half of a year? I think there are some concerns that this puts so down in some area it’s higher inefficient, so we’ll have to catch up on that. And then secondly on the data center side on ECG, I think in last quarter, it seems like that the losses at about [indiscernible], that this probably means that given level excluding the depreciation and also the amortization. So, how should we think about the future probability of ECG? Thank you.
Yang Yuanqing: Okay. So, Gianfranco, could you continue to answer the first question regarding of the education market?
Gianfranco Lanci: Yes, education and corporate, right, but I think we need to make a distinction between corporate and education in the sense, that when we look at education, we have seen due to the pandemic a huge demand on education mainly Chromebook, mainly Chromebook and we continue to see a strong demand on the education strong quarter and also mainly Chromebook and if you look at the – hello…
Yang Yuanqing: Nice point. Nice point.
Gianfranco Lanci: Now, that we continue to see strong demand from education, but also moving forward and not only in the last quarter or Q4, there are some seasonal affective, because this is education a kind of a seasonal business, but as I said, also if you look at it mainly Chromebook, not only Chromebook, and when you look at the projection in terms of Chromebook growth, we are talking about, a big double-digit number in terms starting with three or four for this year and I think also for the following year. Corporate I think is a very different thing. We have seen this rebound during pandemic with of course corporate are using investment and trying to control cost. Starting from Q4 we have seen a rebound done [indiscernible] was already quite strong, and we expected that as soon as the people, they come back to work, work in the office I mean, not from home. These demand will accelerate, because, what we see corporate it’s a big transition from – I’m talking about corporate, not government, big transition from desktop to notebook. Simply goes to the people they want to be ready on that for any issue can happening in the future. And really we see the placement of the desktop installed base with notebook. The important thing, when you look at Europe, but also U.S. or some other countries there is – there are huge programs on digitalization, right? In Europe is one of four or five key element of the – peaked on from the European community for the different countries, they need to invest on the one clear guidelines, they need to bet on the digitalization. That means that they’re getting this means that you need to upgrade or to update or to look at new install base, in terms of not only PC, in terms of PC for sure, and also in terms of infrastructure, the entire infrastructure, and these – when you look at the number in terms of amount of dollars, it’s really, really huge. So, corporate in my opinion, we will see a speed up of the growth during the next three, four, five quarters without any, any work.
Yang Yuanqing: Okay. Thank you, Gianfranco. Kirkwould you like to answer the second question?
Kirk Skaugen: Yes. Thank you for the question. Our strategy within the infrastructure solutions group is to deliver hyper-growth and continued profitability improvements both year-on-year and quarter-on-quarter. I think the nice thing about the data center business is the design wins, to get good in long-term visibility into the key profit drivers that will continue to improve DCGs profitability, ISG profitability in the future. And that is that we’re improving, not just in server, but in storage. Our in-house design and manufacturing is getting us design wins at the motherboard level. And we’re expanding our services business and the attach of our premium services at a, double-digit increase to our servers and storage versus last year. And lastly, we see the enterprise and small business market and the on-prem as a service through our true scale now growing significantly with our, as a service business, growing triple digits year-on-year. So all these things are sticky and long-term profitability trends that we see. In-house manufacturing and design with motherboards expanding our storage. You saw us grow 73% which is a huge premium to market, and our commitment remains to continue this profitability growth each and every quarter. Thank you.
Yang Yuanqing: Thank you. Next question?
Operator: Thank you. Next question comes from the line of Albert Holm [ph] of JP Morgan. Please go ahead. 
Unidentified Analyst: Hi management team. Thank you for taking my question. Congrats on the strong results. My first question is participate for more colors on the channel inventory level, what’s our pricing strategy for PC enters types of piping then and my second question as the mobile profit both quite managing last quarter, and we have seen similar margin bid from Xiaomi and you think that pricing dynamics were quite strong last quarter, but I’m wondering what will be the future profitability chain, if low supply demand become more alert. Thank you.
Yang Yuanqing: Okay. So Gianfranco could you please answer the first question regarding our channel inventory on the piping, so Buniac please be [indiscernible].
Sergio Buniac: Yes, sure.
Gianfranco lanci: Thank you for the great and it’s a very good question. I think the channel inventory as probably never been so low inventory. We are running today in certain country with the two, three weeks of channel inventory, which is really too low in the terms, we were used to run with something between six to eight, and now we have 50% of what we need, and frankly speaking, we’ve been disintegration at least for the next two to three quarters, when I looked at our bondholder the entering have been, we are not able to reduce our both the [indiscernible]. I think there with the same amount, more revenue to same amount per unit, so channel inventory is worrying them and not but because it’s too low. And this is I would say everywhere and really everywhere from U.S to China, Chinese, even probably one of the work replace in channel inventory in terms of – Europe, U.S. and like in – it’s really have everywhere. We need to deal with these situations, so pricing with this stronger demand on one side, some of the components, but mainly when I look at components, it’s really very cheap component. And then when you talk about IC, you’re talking about science. I don’t know – not but pricing and flowing going up. And but to maintain the profitability we need that and also to make sure that we continue to watch pricing. We still, we want to be competitive of course but pricing revenue slowly going up. And I think we continue to go up for the next three or four quarters because the component cost. On the other side it’s not affecting demand because demand is so strong that is really not, we didn’t see, we stopped already the exercise in last quarter, even in Q4, partially – particularly they see any impact on the demand.
Wong Wai Ming: Thank you, Gianfranco, so Buniac would you likely to answer the MBDs probably.
Sergio Buniac: Well, for the mobile side, I think number one despite the high growth, the demand was even stronger. We haven’t seen demand growing in many different regions across the globe and even in different channels, including like enterprise where we are just starting. So, I believe in the future, we will sustain the profitability to don’t see any deterioration and we expect to still growing, premium to market for the full year and the next few quarters. And we expect demand to hold now, well there is more competition from some players, as you mentioned; there are other things that are benefiting demand. So our expectation is to continue to grow payments from market, and you’re seeing demand stocking channel at a very healthy, low levels and demand growth, multiple regions, especially North America, Latin American and Europe, but also markets like India growing in a good pace. And we continue focus on our strategy that is focus on our quarter strengthen and grow profitably like we have been doing normal thoughts to two to three years.
Wong Wai Ming: So thank you Buniac. So we definitely have a higher expectation our Mobile Business have to drive the profitable growth. Actually we think we have the better position the other competitors in some market particularly much of the market, in North America. So we will leverage from a competitors ethic to, for the grow our ship. Definitely has similar suggestion will happen in Europe and some Asia Pacific market – also we will keep that strong, profitable growth in gross market. So actually for the Mobile Business, we could grow even stronger but we are limited by the supply as well. So we will try, I’ll bet that you’ll get more suppliers to support our profit for growth. Thank you.
Jenny Lai: Thank you, Wong Wai. We are now ready to take the last question due to limited time. Please raise your last question. Operator please?
Operator: Thank you. Your last question comes from Alice Chen of UBS. Please go ahead.
Alice Chen: Thank you very much for taking my questions. I have two questions number one, is just a follow-up on the component shortage topics. I’m wondering whether you’re able to quantify the size of component shortage. And when do we expect the component shortage we’ll ease. And then second question about servers, I understand that your servers have been growing quite well. I’m wondering whether you’re also seeing some component shortage in servers. And also what do you believe as your key competitive edge to win further clumps of orders from the audience? Thank you.
Yang Yuanqing: So Gian, how about you? Would you repeat the answer again?
Gianfranco Lanci: No, but it’s also very directed question, because to quantify it’s always not easy, but I would try. If I look at it our back order and we can probably say that the intense of quantifying the shortage, we can probably say that it’s around the 20% – in the range of 20%. So without sharp edge, we could probably ship 20 – easily 20% more. So still a brilliant result in Q1 without shortage could be much, much better, would have been in this way. But it’s not easy to quantify, because unfortunately we are not talking about one component or two components, we are talking about a big number of different small components. Then in some cases, you can – if you are flexible – and this is why it is important to run – actually, you can easily reach and you can be flexible enough to enjoy maybe some other components that are available rather than what is not available, but you need to be very flexible, you need – to do qualification very quickly, you need to do a lot of things. That if you run, let’s say your own destiny is much more easy that depending from an ODM supplier. When – as I said, I will not expect that in the next 12 to 18 months, the situation will improve. It will not deteriorate, probably it will stay at the same level, but I will not expect that for the next 12 to 18 months. So we will see the same situation also next year. We want to build up capacity, when you talk about the fab silicon – it takes some time. There are big investment going on in different areas of the world in terms of new fab, but they will not be ready before 12 to 18 months.
Yang Yuanqing: Thank you, Gianfranco. Kirk, would you like to add something on DCG or ICG…
Kirk Skaugen: Sure. So two questions, first is servers being impacted by component issues. And second is how do we differentiate in the cloud service provider market versus the ODM? So I think certainly there is no one in technology, I think that’s not affected in some way by the chip shortages. However, I think we’ve done an outstanding job multi-sourcing across our portfolio. We just had, for example, record AMD shipments in our server technology with all of the latest Milan announcements we just made with AMD, we’ve announced 18 new platforms this quarter in ThinkSystem and ThinkAgile that we’re multi-sourced across just about everything. So we don’t see that being a major impact to having a significant double-digit premium to market and growth as we move forward here. As our supply chain is a little bit more nimble. I mean, we are bringing in inventory for the cloud service providers based on future orders. I think we’re excited that we’re not just winning the server business, but we’re also winning significant storage orders, gateway orders, high-performance computing in the cloud orders, that’s improving our profitability. And so, we’re able to pre-stage that and build that equipment, because we’re not just doing the system integration or just the rack integration, we’re also doing the motherboard design. So we get to get a start on that much earlier. And candidly, we don’t need to worry about ODMs, because we’re now designing our own motherboards in-house, manufacturing them in our own motherboard factories and integrating them in our own system factories around the world. In fact, we’ve recently talked about significant new motherboard factories in Mexico, expanding in China, as well as expanding in Europe, in Hungary to increase our capacity based on the demand we see. So I don’t think the chip shortage changes that. In our strategy for the cloud, for the public cloud is what we call ODM plus. So we have US$40 billion a year procurement power. So we have much larger procurement power, especially in a shortage than most OEMs, unlike the multi-national traditional OEMs, we can build our own motherboards, we’re not outsourcing those to someone, so that improves our profitability and our agility and we’re in 180 markets. So as we take China cloud providers global, or we take U.S.-based cloud manufacturers global in either sense, we have the ability to get to the every corner of the globe from India to Brazil to South Africa, to anywhere in the world. So this is our supply chain, which was just ranked number 16 by Gartner of all companies in the world, and number five in tech, is proving to be a significant advantage for us both in procurement and in supply chain. So I think 73% growth, this is just the beginning, because we know the design wins in cloud are coming and we know that those design wins are even going to have a better mix with improved profitability in the future. Thank you.
Yang Yuanqing: Thank you, Kirk. So we have to conclude this session. I still request – we didn’t get any question about our fantastic and exciting performance of solution and the service business. So which – was growing twice of the – overall performance, and also, we believe that this was much better margin and the profit, it can demonstrate our success of the transformation. So we have made our strategy very clearly, so we will drive the – strategy some of the IoT on some of the devices, some of the infrastructure and some of the logical. So definitely our solution and the service business will be key to realize this transformation. So we will drive a high – of the service, we will drive hyper-growth for the management – for the manageable service including device as a service and to scale – as a service business. And meanwhile, we will drive multiple Smart Verticals in manufacturing, education, retail, it’s actually essential. So Lenovo has very strong execution capability, once we have the clear strategy, we will drive the results. So actually a couple of years ago you were worried, so whether we could turnaround our mobile business and that doesn’t have been. So we couldn’t give you answer immediately, but over the past couple of quarter performance you could see clear progress in these two businesses. So that can demonstrate in our acquisitions probability, and also it could demonstrate our further success of diversification of our businesses. Definitely for the next step driving the [indiscernible] transformation will be our strategy and I hope with Lenovo’s proven record sales, you can believe we can deliver. Thank you.
Jenny Lai: Thank you, Yuanqing. And we thank you very much for joining today’s call. If you or any of the investors or analysts has any further questions, please feel free to contact me or the IR team directly. And the replay of this webcast will be available in the next couple of hours on our investor relations website. Thank you again for joining us. Bye-bye now. Bye.
Operator: Ladies and gentlemen, that concludes the conference for today. You may now disconnect your lines.